Operator: Hello and welcome to McDonald's April 22, 2008 investor conference call. At the request of McDonald's Corporation, this conference is being recorded. (Operator Instructions) I would now like to turn the call over to Ms. Mary Kay Shaw, Vice President of Investor Relations for McDonald's Corporation. Ms. Shaw, you may begin.
Mary Kay Shaw: Good morning, everyone and thank you for joining us. With me on our call today are Chief Executive Officer, Jim Skinner; Chief Financial Officer, Pete Benson; and joining us for Q&A will be Ralph Alvarez, our Chief Operating Officer. Today’s conference call is being webcast live and recorded for replay via phone, webcast, and podcast. Before I turn it over to Jim, I want to remind everyone that as always, forward-looking statements in our earnings release and 8-K filing also apply to our comments. Both of these documents are available on investor.mcdonalds.com, as are reconciliations of any non-GAAP financial measures mentioned on today’s call with their corresponding GAAP measures. And now I’ll turn it over to Jim.
James A. Skinner: Thanks, Mary Kay and good morning. I am pleased to report that the fundamental strength of our global business continues. In the first quarter, comparable sales increased 7.4%, consolidated company operated and franchise margins grew for the 9th consecutive quarter, and earnings per share were up $0.81, or were $0.81, a 31% increase from the first quarter last year. So a great quarter in which every area of the world contributed. Let’s begin with this quarter’s system leader, Europe. Our second-largest business unit delivered first quarter comparable sales of 11.1%. We are pleased with our results across the markets and in particular with the continuing strong performance in the U.K., France, and Germany. The European Plan to Win strategies of strengthening local relevance, upgrading the customer and employee experience, and building greater brand transparency continued to deliver results. The local relevance strategy is being executed across Europe, mainly through the menu. A balance of premium products, classic favorites, and everyday affordable items that appeal to local taste has been very successful, and we are excited about a new premium burger call the M that we recently launched in France and Germany. To support our menu strategy, implementation of the bridge operating platform continues. It is currently in more than 3,500 restaurants and markets around Europe, including France, Germany, and the U.K., and we expect it will be in most all markets or all restaurants by the end of 2009. Initiatives to upgrade the customer experience include our ongoing reimaging efforts. U.K. began two years ago by reimaging the majority of their heavily traveled High Street locations. In 2008, they will reimage 200 more restaurants with an emphasis on those with drive-thrus. And Germany will continue their aggressive reimaging program with the goal of having 100% of our German restaurants reimaged by the end of 2009. Convenience initiatives also enhanced the customer experience. Today’s buys consumer expects and needs us to be available on their terms. Currently about 70% of our restaurants in Europe offer some type of extended hours. As we further build our breakfast business, we have significant opportunity to increase the number of restaurants opening earlier and with only about 600 restaurants open 24 hours, this will be a major area of focus. And lastly, Europe has done an exceptional job building brand transparency and gaining trust in the marketplace. Whether we are willing -- whether we are telling our quality story, setting the facts straight regarding employment, or supporting green initiatives, we are visible and in touch with our customers. Now moving on to our business in Asia-Pacific, Middle East, and Africa, significant momentum continues with a 9.4% increase in comparable sales for the first quarter. Nearly all markets contributed to this increase. Initiatives around value, convenience, breakfast, and core menu will continue to drive results. Let me highlight just a few of these initiatives and how they are working in our top three markets. Starting with China, we are excited by how quickly successful initiatives are being scaled and executed. For example, in the area of convenience, about 75% of China’s restaurants are open 24 hours and we are seeing very strong comps during these extended hours and expect that to continue into the future. In addition, we’ve seen significant growth in our breakfast business. We have an opportunity to grow this day part exponentially when you consider that many of our existing customers have yet to discover breakfast at McDonald's. It’s a huge opportunity that we are well-positioned to optimize and leverage. Australia continues to deliver strong comp sales growth. The launch of our premium chicken strategy in November of ’07 has been extremely successful, with results far exceeding our expectations. And we are on pace to double our chicken business in Australia in just three years, plus we’ve added addition convenience with 24 hours in more than 30% of restaurants and improved drive-thru operations are also contributing to this market’s results. In Japan, our momentum continues. New food news on the 100 YEN value menu and the McWrap on the breakfast menu have proven popular with customers. And Japan now has more than 1300 restaurants on 24-hours with more scheduled to go on this year. Turning to the United States, we delivered solid comparable sales for the quarter of 2.9%. [For three months], we did see some ebb and flow in sales, partly as a result of the current economic environment and play on days because of the Easter shift. While March’s comparable sales were down slightly, we estimate April comparable sales will improve to about 2% to 2.5%. In this environment, our strategy of everyday affordability becomes even more important and we will continue to emphasize our value offerings. As we’ve said before, we believe our U.S. business is not recession proof but it is recession resistant. That’s why I remain confident in our ability to manage through these economic times and most important, so do our operators. This past week I had an opportunity to meet with many of them and I am pleased to say that while they too feel the impact of this environment, they are also optimistic about the business now and into the future. I also want to point out that while we can and will respond to the current business environment, we continue to manage our business for the long-term. We believe our U.S. growth strategies of chicken, breakfast, beverages, and convenience will continue to deliver results today and into the future. Our important breakfast business continues to thrive. Looking ahead, we are advancing both our breakfast and chicken strategies with the May launch of our new Southern Style Chicken. We will offer a chicken biscuit sandwich at breakfast and a new chicken sandwich the rest of the day. Additionally, this summer we will highlight beverages with an emphasis on building traffic and add-on purchases by promoting McDonald's Sweet Tea and Iced Coffee in conjunction with core menu favorites. And the introduction of specialty coffee continues. We are currently in about 1300 restaurants and expect the rollout to accelerate and pick up pace later in the year. So that’s a look at McDonald's around the world. Our global Plan to Win is working and I am confident our global momentum will continue. I am confident because our globally diversified business positions us to deliver in all types of operating environments. It is an unparalleled advantage for our system and our shareowners. This system strength was on display last week when 13,000 members of our system, owner-operators, suppliers, and company people, gathered for our worldwide convention. Everything about the time we spent together was aimed at growing our business, at getting even better at being better. The 700,000 square foot exhibit floor provided the tools to drive restaurant performance today. We highlighted proven Plan to Win business drivers, including the best strategies to deliver everyday value and predictable affordable prices, the latest new menu items from around the world, best practices to expand and execute our convenience offerings, relevant and contemporary restaurant decors for ongoing reinvestment, and tools and training to continually improve restaurant operations, including a focus on our people and their development at the restaurant level and beyond. The floor also provided a look at future innovations in our pipeline. Specifically, we are focusing resources on increasing restaurant capacity, efficiency, and relevance. But for me, the most exciting part of our convention was the alignment, collaboration and calibration across the system and subsequent idea generation. But most important -- the focus on execution at the restaurant and providing our customers with a better experience. This energy I experienced at our worldwide convention, coupled with our current business momentum, reinforces my confidence in the direction we are heading and my optimism that our global business will continue to deliver on our revenue, income, and return goals. Thank you and now I’ll turn it over to our CFO, Pete Bensen.
Peter J. Bensen: Thanks, Jim and good morning, everyone. Today we are reaping the benefits of our disciplined customer centered approach to managing our business. This approach is reflected in how we continue to connect with customers to drive sales growth in each area of the world, how we operate our restaurants and collaborate with suppliers to deliver solid margin performance, how we balance our ownership mix to achieve greater local relevance and a more stable revenue stream, and how we leverage the strength of our cash flow and balance sheet to further build our business and return a substantial amount of cash to shareholders. Each of these elements requires a long-term focus to sustain our momentum but it all starts with building greater consumer relevance to drive increased visits and sales. Our results for the quarter continued to prove that this is the right approach for McDonald's. Combined operating margins, a measure that captures company operating and franchise margin performance, as well as G&A control, rose nearly four percentage points to 26.1% in the first quarter. Positive comparable sales were the key factor behind the quarter’s strong performance. Company-operated margins as a percent of sales increased 60 basis points, driven by Europe and APMEA. This also included a 20 basis point benefit from the transition of Latin America to a developmental license structure in August 2007. Europe’s 11% comparable sales increase in the quarter helped deliver a 60 basis point increase in company-operated margins. The U.K. and France were the main contributors to Europe’s improvement, partly offset by Russia, where inflationary cost increases were higher than the rest of Europe. Europe achieved this strong result despite continuing labor and commodity cost pressures. Regarding commodity cost in Europe, during the quarter cheese was up 36%, chicken up 3%, while beef declined 4%. For the full year, our outlook for chicken continues to be up 6% to 8% and cheese to be up 20% to 25%. And now we expect beef to be up 3% to 4%. APMEA had an excellent first quarter with comparable sales up 9.4% and company-operated margins up 170 basis points. China and Australia were key drivers of this performance, along with many other markets. I am extremely pleased with the ongoing contributions of this important business segment. U.S. company-operated margins were relatively strong at 17.8%, driven by comparable sales growth of 2.9%. Higher commodity cost more than offset the comp sales increase, netting U.S. margins down 20 basis points for the quarter. In the first quarter, U.S. cheese costs rose about 30% while beef and chicken both increased nearly 4%. For the year, we currently expect U.S. chicken prices to rise 5% to 6%, cheese to be up 13% to 14%, and beef to trend downward and end the year relatively flat. Around the world, we serve a large variety of products -- beef, chicken, fish, eggs, buns, cheese, and many other items. In general, about 75% of our grocery bill is comprised of 10 different commodities, of which no single item individually represents more than 15% of the total. As a result, no single commodity materially impacts margins. Consolidated franchise margins were up 140 basis points in the quarter, also driven by strong global sales. In addition, the 2007 Latin America transaction benefited margin growth by 60 basis points. We believe locally owned and operated restaurants are at the core of our competitive advantage and make us not just a global brand but a locally relevant one as well. To that end, we continue to evolve to a more heavily franchise structure. Today, our worldwide system is 78% franchise, up over four percentage points from first quarter 2007. We expect this percentage will continue to increase as we make progress on our goal to franchise 1,000 to 1,500 company-operated restaurants over the next few years. In the first quarter, we refranchised about 130 restaurants, primarily in our major markets. Our refranchising efforts help us provide customers a more locally relevant experience and while it has direct positive implications for the predictability and reliability of our cash flow, it initially impacts total revenue dollars because we only collect rent and royalty income versus 100% of the restaurant sales. This more stable revenue stream supports our goal to return $15 billion to $17 billion to shareholders from 2007 through 2009. Last year we returned $5.7 billion. In the first quarter, we were opportunistic with our share repurchases, buying back $2 billion in stock. We also paid a quarterly dividend of nearly $430 million. Our ongoing share repurchases and disciplined compensation practices combine to decrease diluted shares outstanding by 57 million shares, or 5% year over year. This decline contributed about six percentage points to the quarter’s EPS growth rate. Looking ahead, we expect our share count will continue to decline and benefit our EPS growth rate. Our commitment to return a significant amount of cash to shareholders is not a barrier to restaurant growth. Our robust global business generated nearly $5 billion of cash from operations in 2007 alone. In addition, our healthy balance sheet and strong credit rating gives us ready access to capital. We demonstrated this in the first quarter when we secured attractive financing earlier than needed to pre-fund certain debt maturing in the second half of the year. As a result, cash and long-term debt will be substantially higher on March 31st than we expect it will be at year-end. Accordingly, our current outlook for interest income and interest expense is higher than initially projected at the beginning of the year. It’s our better, not just bigger strategy that influences our capital expenditure plans. This strategy guides our decision on the amount, location, and nature of our capital investment. In 2008, our planned capital expenditures of $2 billion will be almost equally divided between new restaurant openings and reinvestment, including reimaging and other opportunities such as the combined beverage business in the U.S. We expect to open about 1,000 new restaurants this year, up 20% from the number we built in 2007. This increased number of openings reflects an aggressive 20% to 25% unit growth rate in our high potential markets of Russia and China. So far this year, nearly one-fourth of the 170 locations we’ve added were in China. Our restaurant addition target also includes higher new unit openings in affiliate and developmental license markets, such as Japan and Latin America, where we invest no capital and collect a royalty based on sales. Looking forward, we continue to run our business with disciplined fiscal practices, balancing growth from comparable sales and new units to drive strong cash flow and returns. From ongoing initiatives to deliver great customer experiences to strategies that strengthen cash flow and returns, our disciplined business approach is working. I am confident that as we maintain this focus, we will continue to deliver shareholder value into the future. Thank you. Now I will turn it over to Mary Kay to begin our Q&A.
Mary Kay Shaw: Thanks, Pete. I’ll now open the call for questions. (Operator Instructions) The first question is from Steve West at Stifel Nicolaus.
Steve West - Stifel Nicolaus:
James A. Skinner: Thank you, Steve, for the question. First of all, McCafe is a pretty small part of our overall strategy but I’ll let Ralph talk a little bit about the numbers, if you will, Ralph.
Ralph Alvarez: Steve, we have 1,300 in some version, and this was part of our initial testing and early rollout, so some are in different stages of development. The rest, what we’ve said is will be completed at some point in ’09. We’re not going to give specific timeframes. It’s a complicated process through zoning and everything else and what we do know is that we’ve done our thorough testing, is that we are hitting or exceeding our targets in different geographies around the country.
James A. Skinner: And it’s specialty coffee and not specifically McCafe. I think that’s another distinction that’s important to talk about, is two different strategies, really, specialty coffee and McCafe.
Mary Kay Shaw: Thank you. The next question is from Joe Buckley at Bear Stearns.
Joe Buckley - Bear Stearns: Thank you. Can you give us a run-down on check increase versus traffic increase, maybe in the three main regions -- the U.S., Europe, and APMEA please?
Peter J. Bensen: You know, we had traffic increases across all the segments so that obviously is very good, and it ranged from maybe a little more than a third of our growth came from traffic in the U.S. to close to 50% from traffic in Europe and nearly 60% in APMEA.
Mary Kay Shaw: Thank you. Next question, Jeff Bernstein, Lehman Brothers.
Jeff Bernstein - Lehman Brothers: Thank you. A question on Europe specifically; just looking at the company operating margin line, you’ve got a 60 basis point improvement but yet an extremely impressive 11% plus quarterly comp. The increase I guess in margins is well below the prior three quarters on an absolute basis, as well as just on an incremental basis. I’m just wondering if you can talk about the drivers. I know you mentioned obviously commodities and labor but if you could talk about what you think are the specific drivers for limiting the margin growth, perhaps your outlook on that line, maybe what the U.K. contribution was, that total. Thanks.
Ralph Alvarez: You know, we were pleased with the growth we had and the performance across the different segments of Europe. Commodity costs, as you know, and Pete went over, are pretty high. Normally if we had a 3% or so comp, we would cover our costs in Europe but with the higher commodity costs, that number right now for the -- would have been more in the 5-plus range for the first quarter. And we -- so that was part of the reason you did not see a higher performance. Our controls were in line, our strategies were in line. On a secondary basis in Russia, which is becoming a bigger piece of Europe, just the way we do our price increase there, that’s a much more inflationary environment. They don’t always stock up exactly when we get increases, and so the number fluctuates a little bit more quarter to quarter, but we feel we know we’ll be in line by the end of the year.
Peter J. Bensen: And Jeff, specifically you asked about the U.K., they benefited margins by about 30 basis points in the quarter.
Mary Kay Shaw: Thank you. The next question is from John Glass at Morgan Stanley.
John Glass - Morgan Stanley: Thanks very much. I wanted to ask for a clarification in front of my question; the clarification is just on Easter. In March, it was bad for the U.S. but good for Europe, and then the reverse happens. If you could just clarify that -- in other words, the two markets don’t respond the same to Easter. And then the question is on Europe, could you just in aggregate talk about the number of stores, the percentage of stores, let’s say, in total that have extended operating hours and again the percentage of stores that have been reimaged. You talked about additional hours and additional reimaging, but where are we in total on those two metrics?
Peter J. Bensen: I’ll talk and clarify the Easter first -- you are correct. It is a negative to the U.S. and a positive to Europe, but the magnitude is much different. In the U.S., it’s less than five-tenths on sales in terms of the Easter impact. But in Europe, it’s more like a 2% impact because a lot more people travel and plan their holidays around Easter in a very concentrated timeframe, so we see a 2% benefit around Easter in Europe and a less than 5% negative in the U.S. around the Easter holiday. Your questions on the extended hours and reimaging --
Ralph Alvarez: I’ll take those.
Peter J. Bensen: Ralph, you’ve got the numbers?
Ralph Alvarez: John, on extended hours, in Europe we have about 8% of the estate is on 24 hours and we hadn’t done a significant amount of extended hours. As you may know, other than the U.K., we don’t have much of a breakfast business over there except where we started to put McCafes in Germany, so it’s still a pretty big future opportunity for us, both extended and 24-hours. On reimaging, at the end of March, we were close to 2,000 reimaged restaurants of the total restaurants in Europe and planning another 700 or so by the end of this year. And that’s about the pace. We’re on a pace of doing about 800 or so, 900 per year and that allows for the whole estate to stay current on a cycle that’s about a 10-year cycle.
Mary Kay Shaw: The next question is Jason West, Deutsche.
Jason West - Deutsche Bank: Thanks a lot. I was wondering if you could talk a little bit more about the labor cost environment. I know you see a lot of press about food costs but labor was actually more inflationary in the quarter. I’m just wondering if there is anything specific going on in Europe or the U.S. on the labor line that’s going to roll over here, or is this kind of the way it’s going to be for the rest of the year? Thanks.
James A. Skinner: Well, we’ve had some compression on labor, as you know, and our average rate is up significantly in the U.S. and around the world, of course. They never go down. They are always going up and the cost of doing business is increasing. It’s one of the factors relative to our margins, but I’m going to let Ralph talk specifically about the numbers, Jason.
Ralph Alvarez: One thing that throws the number off for the quarter, Jason, is with the refranchising of the Latin America business, which had a big McOpCo base and had a low labor rate, it’s a 90 basis point effect in the quarter on the labor rate, so it kind of throws the number off as having a greater impact than it really does. So that’s something you will need to factor into the numbers and what Jim said on the rest, is what we deal with and we cover the majority of it through price increases just below inflation.
Mary Kay Shaw: Thank you. The next question is from Steven Kron at Goldman Sachs.
Steven Kron - Goldman Sachs: Thanks. I had a question on the U.S. margins. On a year-over-year basis down 20 basis points, seems to have held up relatively well compared to what it’s been doing over the last say four quarters, despite maybe the comp being a little bit less. So recognizing commodity cost is certainly inflationary, is there anything that we should be aware from a cost control standpoint with the four walls of the company-operated stores that is helping to protect those margins? It seemed to come in a little bit better than I had anticipated.
James A. Skinner: Steve, we do a lot of things to mitigate the cost of increasing commodities, a lot going on in the market place today regarding those costs. And of course we have great work being done by our treasury group and supply chain group to mitigate those costs over time, but we don’t get all of them. And then of course we have our price increases and our pricing tool models to be able to protect our consumer value and at the same time take price increases that are appropriate for the business and our customers. Ralph, maybe you want to talk a little bit about --
Ralph Alvarez: I think in general the margins were predictable across all three months and we also had an emphasis on breakfast, which you know is a high margin business for us. And so overall our long-term strategy of chicken, beverages, and breakfast helps during these times also.
Mary Kay Shaw: The next question is from David Palmer at UBS.
David Palmer - UBS: Thank you. Many economists are saying that consumption growth in Europe could slow and some companies have cited there may be some signs of slowing there already. I’m wondering, are you seeing any evidence anywhere in your European business of diminished consumer strength? And to the degree that this occurs, or is occurring, do you see your business there being somewhat more cyclical than the U.S. and perhaps you would make a change in your strategy away from premium innovation to something else. Thanks.
James A. Skinner: Thanks for the question, David. Of course, we manage our business for the long-term so I don’t expect to see any change in strategy, that’s to answer your question number three, or the third part of your question. And currently, and I talk with Ralph and the European leadership about this every day to see whether or not we are seeing any slowdown, as others are expecting to see a slowdown in Europe and the answer in our business right now is the only thing we can really look at is that no, the trends currently are very strong and we feel good about where we are there. And I’ll let Ralph talk a little bit about the economy over there. He’s been in all the markets and spent time directly with the leadership, so it might be appropriate for him to comment.
Ralph Alvarez: David, our performance was strong across our four major markets and we are not seeing that effect. And as you know, we’ve had a fairly strong premium product focus. We had good every day value in the marketplace but our new products that we have out there have been good performers and we have a nice balance between average check growth and traffic in the number. Pete mentioned it’s about 50-50 right now in just about all countries, the major countries in Europe. So we are not seeing it. We keep a very close eye on it but we are investing there for the future. We have -- we are building great brand strength?
Mary Kay Shaw: Thank you. The next question is from Jim Baker at Neuberger.
Jim Baker - Neuberger Berman: I have two questions; can you comment on your SG&A expense, where you had a pretty good leveraging of that. And although I am wondering what that might have been sort of on a pro forma basis if you had the Latin America SG&A out of first quarter ’07. And then separately, could you just comment on the operating income performance of Canada and Latin America separately? Would Latin America have been -- did you benefit from the Lat-Am transaction, or was that a detriment this quarter?
James A. Skinner: I’m going to let Pete talk about the details but we feel good about where we are with the G&A and our goal, of course, is to be more efficient and we achieved that in the first quarter and we feel good with what we have ahead of us for the year relative to the G&A. And some of that is being contributed really by the Latin American transaction relative to reduced G&A costs from that segment. Pete, do you want to talk a little bit about the specifics?
Peter J. Bensen: Jim, you asked if you were to exclude the Latin transaction, G&A would have been up only 3% constant currency, which considering the sales growth we think is a great accomplishment for the first quarter and as we had indicated in our annual guidance, we expect G&A to be down in relative terms for the full year, so this was in line with our expectations and not only reflects the Latin transaction but the ongoing discipline and focus around controlling the G&A. Your second question was around splitting out Latin and Canada and while we are not going to really get into a lot of those details, Latin was relatively flat with the first quarter last year, which considering it was 100% owned and we had all the company-operated restaurants last year, it was a few million dollars worse this year compared to last quarter but not terribly significant.
Mary Kay Shaw: Thank you. The next question is from Jeff Omohundro at Wachovia.
Jeff Omohundro - Wachovia Capital Markets: Thanks. Just a question on the new Southern Style Chicken product. Just curious about the product development around that, what your testing said about price value and pricing relative to the primary competitor in that sub-segment, and whether you think you might see some skewing of results geographically with that product. Thanks.
Ralph Alvarez: Sure, Jeff. We do our pricing based on what customers expect to pay in our restaurants. We do look at what other products are out there but the most valid data point is expectation at McDonald's for the specific product is what gives us the best accuracy and then how that plays with the other products on the menu that may be similar -- in this case, obviously chicken. We tested geographically dispersed on this -- we had 2,000 restaurants for this test, more than we normally have because we knew how it would perform in the south but we needed to get a better handle out west and north, and so we felt strongly enough that it’s something that we believe we can do nationally, obviously with an expectation that we are going to sell more units in the south where people are familiar with it initially but that long-term, this makes sense for us across the country.
Mary Kay Shaw: Thank you. The next question is from John Ivankoe from J.P. Morgan.
John Ivankoe - J.P. Morgan: Thank you. It sounds like average ticket is up a little bit less than pricing in the United States. If I understand, I think pricing is running 3% to 3.5%. And I just wanted to understand perhaps a few implications of that. Is dollar menu up year-on-year? I think you said breakfast is doing better, so I’ll take that as a yes, but do we continue to expect an increase in the average ticket less than pricing and does this influence your decision on future pricing?
Peter J. Bensen: You are right in that the average check is up a little bit less than the average price increase and we are seeing a little more activity on the dollar menu but it still remains remarkably consistent in that 13% to 14% of sales, so when we look at our dollar menu activity, while the units may be up a little bit the percentage of total sales are in that 13% to 14%. So we are very comfortable that in this environment we are continuing to get -- keep traffic coming in the restaurants with our strategy of focusing on the value. As you know, it’s much harder to get those customers to come back than it is to keep them in the restaurants, so that’s an important part of it. But as we look forward, we use the pricing tool that Ralph alluded to that looks at the food away from home, it looks at the impact it would have on traffic, and so we are very cognizant of making our price changes not detrimental to our traffic or not getting away from that food away from home number. So we are pretty comfortable with the current environment that we’ll continue to be able to get some price increases, maybe not 100% of our cost increases but still cover most of that margin as an investment for the future.
Ralph Alvarez: I think also a small piece in that right now is if you compared the last three or four years of what the U.S. marketing calendar has been, it’s been very premium product focused and we consciously have been focused on breakfast and/or a value during these current times. And so that has a little bit of an effect also, as we kick into the Premium Chicken Sandwich, the Southern Style Chicken Sandwich now, a little bit of that will come back.
Mary Kay Shaw: Thank you. The next question is from Mitch Speiser at Buckingham.
Mitch Speiser - Buckingham: Thanks. Two questions; first in Europe and in more generally outside the U.S., you did touch on breakfast and drive-thru. Can you give us a sense of what the sales mix in Europe is, all of Europe for breakfast and for drive-thru and how quickly they are growing versus the base?
Ralph Alvarez: I’ll start out with breakfast, Mitch, in Europe. Again, it’s a very small number, 1% to 2% except for in the U.K. where it’s closer to the 10% range. Again, they are much more of a traditional English breakfast and that, when you go into the rest of Europe, it’s much more of a continental breakfast focus, which is not what our core menu is, which is also why we’ve gone after the McCafe strategy versus as much of our traditional menu. On a drive-thru basis, it really varies significantly throughout Europe based on the estate that we have, so it’s not as much as a percentage of sales in the individual restaurant as how we develop the estate. So somewhere like the U.K., we had 400 restaurants in high streets before we ever build drive-thru number one. And in France, we have -- and Germany, a much higher drive-thru percent. So I think the number is more in the 30 -- I think overall sales is like 30% or 35% range for -- of the total sales for Europe, but it’s higher in those restaurants that have drive-thru.
Mary Kay Shaw: Thanks. The next question is from Matt Difrisco at Oppenheimer.
Matt Difrisco - Oppenheimer: Thank you. Can you just give us a little bit of an update on -- I think you said 1,300 stores with the beverage rollout now. Is that assuming then all company-owned stores and then a couple of franchise? How does that break down and how does that hit your last stated goal, I guess, of domestically expecting by the end of ’09 to have it completely rolled out. And then as far as a test thus far through those 1,300 stores, are you seeing that $100,000 beverage business, are you on pace for that that you thought you would be seeing in the earlier tests?
James A. Skinner: Thanks for the question. As we mentioned earlier, we are in 1,300 restaurants. We are on pace. We expect to do what we say. That will be implemented in 2009 in 100% of the restaurants. It’s spread across the board. It’s not McOpCo first and then franchise. As a matter of fact, it’s more franchise than McOpCo along the way. And we’ll be done when we said we would be done in ’09. This is why I mentioned earlier that right now in ’08, it is not a big part of our strategy in terms of growth because we are in the implementation stage and we are seeing the results, I think Ralph mentioned earlier, that we had expected from this, and we are in good shape on this strategy.
Peter J. Bensen: And Matt, remember that $100,000 plus lift in sales is a combination of not only the specialty coffee which is the initial part of this rollout but then the broader beverage business, which includes the bottled beverages, the smoothies, the frappes, the sweet tea. So it’s more holistic and so you’ll see that come on in pieces.
Mary Kay Shaw: Thank you. The next question is from Rachael Rothman at Merrill Lynch.
Rachael Rothman - Merrill Lynch: Thanks. Could you talk a little bit about the competitive environment in the U.S. and the actions that you’ve seen out of maybe some of the other fast food competitors? Is it similar to what you were seeing the last time we heard from you guys in January, or have you seen competitors’ propensity to discount increase? Has there been any change in that? And then, could you talk a little bit about how quickly you are able to adjust either your pricing or promotions in reaction to that? Is it a six-week window or a three-month window or how you guys go about evolving your strategy in reaction to what’s going on in the marketplace? Thanks.
James A. Skinner: I’ll just make a headline comment and then I’ll let Ralph tell you about the details relative to the competitors, but we don’t see a lot of change in the environment and most importantly when it comes to our strategies, we lead with our strategies relative to the long-term and the expectation over -- if you looked at ’08, for example, our strategies are in the can. We don’t expect if you look at everyday affordability and the value that we have on our plate today and providing our consumers and then the other initiatives around the sandwiches and the beverages, our strategy is in place. We don’t expect that we are going to have to do any reacting to what the competitors are doing. But having said that, I’ll let Ralph talk a little bit about what he sees in the competitive environment.
Ralph Alvarez: We saw the normal pick-up that we see every January/February when it’s winter and we all [review] sales on a per day basis and people have less money in their pocket books but not anything that is significantly different than what we see every first quarter. And so -- and a reaction basis, again we don’t react to them but we would react if we saw something in our business or consumer reaction that we should adjust. We stay in tune with the customer very carefully and we can do that very fast. It’s not quarterly or six months. We can move on a dime in that. We have our -- 60% of our money is spent locally, which allows us to react geographically, which is very important. We are not heavily nationally buy from a media point of view, which is -- gives us that flexibility. We believe that’s very important.
Mary Kay Shaw: Thank you. The next question is from Larry Miller at RBC.
Larry Miller - RBC Capital Markets: I wanted to ask that competition question from a different angle; not as it relates to discounting but as it relates to product, a lot of guys have been taking your successful snack wrap and rolling it out through their systems. Do you think that might be contributing based on your experience here to the slowdown that we are seeing in the U.S.?
James A. Skinner: I don’t think so, Larry, and of course -- you know, what’s new? This has been happening for 50 years around here but I don’t really see any impact directly on these new initiatives in terms of the menu. Ralph, maybe you have seen something but I don’t think so.
Ralph Alvarez: No, but you know, we look at our product mix and our product mix are strong in these different items and you know, it’s -- it’s something that happens when you have success. So we understand that and we’ve got our next two- to three-year pipeline of different items that we’ll have ready when the time is there.
Mary Kay Shaw: Thank you. The next question is from Keith Siegner at Credit Suisse.
Keith Siegner - Credit Suisse: Thanks. One more quick question on the margins; unit closures and refranchising kind of came in a little bit ahead of our expectations. Can you just outline what if any benefit these had to the company-operated margins for the quarter and if any, then how that might trend into 2Q?
Peter J. Bensen: You know, we did see a little bit of benefit in the U.S. on our company-operated margins from some of the refranchising, but there isn’t a specific target or goal that they have. So while I think probably throughout the rest of the year we’ll see a slight benefit to that, it really depends on the mix of stores that they sell. They aren’t specifically selling restaurants because they are poorer margin performers. They are looking more holistically at the marketplace and which doors should we operate, which ones should franchisees operate, et cetera. So while there is a slight benefit, that isn’t the primary goal and something that we’re necessarily focused on.
Ralph Alvarez: And on closures, we had a few in Japan as part of the plan we’ve had in Japan. We also were -- we’re building much more of the restaurants today with drive-thrus that we need. We had a lot of smaller inline locations and as those leases come up or we can replace, have a place for the customer base to move, we’ve been doing more of that in Japan.
Mary Kay Shaw: Thank you. The next question is from Joe Buckley at Bear Stearns.
Joe Buckley - Bear Stearns: Thank you. I wanted to ask a question on breakfast. It has consistently been one of your stronger day parts over the last couple of years and obviously there’s lots of activity in the space. What does your research show in terms of why breakfast is growing when much of the rest of the dining out market seems like it is not?
Ralph Alvarez: It’s breakfast away from home that is growing. It is not breakfast in general, so if you look at coffee as a great example, coffee consumption is down overall. It’s down a lot at home but it’s up away from home. And so just -- you know, societal changes with less of a structured work place and people out and about. The biggest thing we see with our breakfast business, it no longer comes just at that rush we used to get. It’s very steady throughout the hours we are open.
James A. Skinner: And Joe, if I could, breakfast has always been a great opportunity for us to deliver the best service, the best quality, and a variety of products that are very affordable. And I think we get some of our best experience delivered to our customers at breakfast and it’s been that way for some time. And so we’ve been in breakfast, as you know, for 30-plus years and it’s a great experience for our customers at that time and it continues to get better.
Mary Kay Shaw: Thank you. Next question, David Palmer from UBS.
David Palmer - UBS: Thanks. It appeared that in the first quarter in the U.S. that McDonald's same-store sales began to kind of close in with that of the industry; your share gains perhaps weren’t as rapid as what they were in much of ’06 and ’07. And I’m wondering if the lift -- do you see that the lift to your sales from breakfast and late night in particular may be diminishing and we might be in one of those time periods where those platforms may not be the lift that they were, we’re waiting for this beverage initiative to get to scale, and we just may have a lower growth rate in between? Thanks.
James A. Skinner: David, first of all, when you look at our report this morning and when you consider the fact we are coming off of five consecutive years of growth, contributed by all day parts, including extended hours, and then the environment we are operating in here in the United States, because I’m assuming your question is more about the United States as around the world, and when you look at those numbers and you look at the results, we have to be fairly pleased with where we find ourselves when you look at the backdrop of five years of success and the thresholds in terms of the law of big numbers and where we found ourselves. And so I think the answer to that question is no, other than the normal slowdown that you are seeing regarding the economy here in the United States, which I talked about in January. Ralph, I don’t know if you want to say anything about those --
Ralph Alvarez: The early numbers we have, we took market share in the first quarter again and so that’s -- from an absolute sales number, we were lower obviously than we’ve been the last five years but we took market share and we measure that on traffic, as you know, not on sales, and our focus is on traffic because that’s the critical component. You know, we get them in the restaurants, we’ll figure out how to get the successful average check from them down the road.
Mary Kay Shaw: Okay, it looks like we are out of questions, so I’ll go ahead and turn it over to Jim for a few closing comments.
James A. Skinner: Thanks to everybody for being on the call. In closing, I just want to reiterate that the fundamental strength of our global business continues and we’ve delivered very strong first quarter results. Our Plan to Win is working in every area of the world and we’ve had the right strategies in place to provide sustained, profitable growth. Our globally diversified business positions us to deliver in all types of operating environments and is an unparalleled advantage for our system and shareholders. We remain confident and optimistic that we will achiever our revenue, income, and return goals. Thank you very much.
Mary Kay Shaw: Thank you.